Operator: Welcome to the Gaylord Entertainment Company's First Quarter 2012 Earnings Conference Call. Hosting the call today from Gaylord Entertainment are Mr. Colin Reed, Chairman and Chief Executive Officer; Mr. David Kloeppel, President and Chief Operating Officer; Mr. Mark Fioravanti, Executive Vice President and Chief Financial Officer; and Mr. Carter Todd, Executive Vice President and General Counsel. This call will be available for digital replay. The number is (800) 585-8367, and the conference ID number is 69034636. [Operator Instructions] It is now my pleasure to turn the floor over to Mr. Carter Todd. Sir, you may begin. 
Carter Todd: Thank you, and good morning. My name is Carter Todd, and I'm the General Counsel for Gaylord Entertainment Co. Thank you for joining us today on our first quarter 2012 earnings call. 
 You should be aware that this conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements, among others, regarding Gaylord Entertainment's expected future financial performance. For this purpose, any statements made during this call that are not statements of historical fact may be deemed to be forward-looking statements. Without limiting the foregoing, words such as believes, anticipates, plans, expects and similar expressions are intended to identify forward-looking statements. You are hereby cautioned that these statements may be affected by the important factors, among others, set forth in Gaylord Entertainment's filings with the Securities and Exchange Commission and in our first quarter 2012 earnings release. And consequently, actual results may differ materially from the results discussed or projected in the forward-looking statements. Gaylord Entertainment undertakes no obligation to update publicly any forward-looking statements whether as the result of new information, future events or otherwise. 
 I would also like to remind you that in our call today we will discuss certain non-GAAP financial measures, and a reconciliation of those non-GAAP financial measures to the most directly comparable GAAP financial measures has been provided as an exhibit to our earnings release and is also available on our website under the Investor Relations section. 
 At this time, I would like to turn the call over to our Chairman and Chief Executive Officer, Colin Reed. 
Colin Reed: Thank you, Carter. Good morning, everyone, and thank you for joining us today. I will begin with some highlights from our first quarter performance and then offer some thoughts on how we are thinking about our business for the remainder of this year. Then our President, Dave Kloeppel, will offer some color on our sales and marketing activities; and Mark Fioravanti, our CFO, will conclude our prepared remarks by providing detail on our financial results for the quarter. Then we'll of course open up the call for questions. 
 Last week, we provided the preliminary preview of some of our quarterly results, so you should already have a decent understanding for how we performed. Let me begin by saying that we were very pleased with our performance this quarter, as revenue across our hotels grew by 8%. This is especially good in light of the challenging comparable Gaylord Texan created by the 2011 Super Bowl in Dallas. While the quarter started slow, group performance momentum began to build in February and drove very strong results in March. While 2 months does not make a predictable trend, we did witness some encouraging group trends in the first quarter. Many groups delivered more room nights than we initially expected, and even more groups increased their spending behavior while on property. 
 However, before I go into more detail on the highlights at our properties, I want to discuss what we believe to be the true story of the quarter: our profitability and margin performance. This quarter, we posted a Gaylord Hotels brand CCF of over $70 million, the highest in the history of our brand and representing growth of 24.3% compared to the same quarter last year. This translated into a CCF margin just over 31%, a 410 basis point improvement over the first quarter of last year. Now we've told you for some time that as local markets and overall group sector conditions improve, the efforts we had undertaken during the last few years to fine tune operations and drive cost efficiencies would allow us to deliver very strong profitability. This is exactly what we saw this quarter, and we believe that this will be a significant advantage for our business as we emerge from this prolonged economic slump. 
 It is also important to keep in mind that, by its nature, momentum in the group business can ebb and flow somewhat based on larger economic or even local market trends that are outside of our control. So while there will certainly always be some quarters that are better than others, particularly from a top line perspective, we are confident in our ability to drive our margin performance as we demonstrated in this first quarter. 
 Now this is particularly apparent in March, as we had our most profitable month on record. We were able to translate our second-highest brand revenue month in history into a record monthly CCF performance of $37.1 million and a record brand CCF margin of 41%. This exceptional March was spearheaded by the results at Gaylord Palms and Gaylord Opryland, which had one of their most profitable months on record. We were especially pleased by the performance of the Palms, which saw growth in ADR, occupancy and outside-of-the-room spending. The result was a 15.3% increase in RevPAR, and a 12.3% increase in total RevPAR. We're also optimistic for the Palms' prospects for the rest of the year, given that our new sports bar and pool complexes are now fully operational. With the completion of the remaining 20% of the room renovations this summer, the property will enjoy a much-enhanced competitive position in the Orlando market. 
 Gaylord Opryland had another outstanding quarter, with double-digit revenue and ADR increases driving RevPAR and total RevPAR growth of 11% and 15.8%, respectively. The strong performance of several groups, especially in March, drove our revenue growth both in and outside of the room. Solid group spending behavior while on property drove the outside-of-the-room revenue growth of 19%, aided by the operational and technological improvements we put in place following the great flood of 2010. The property drove a CCF margin for the quarter of over 32%, a 920 basis point increase compared to the same quarter last year. 
 Now turning to Gaylord National, we saw a modest improvement across all metrics. Despite the fact that the first quarter remained challenging for many operators in the D.C. market, our business showed signs of strengthening. Government business increased over the same quarter last year, and nongovernment groups performed better than expectations. We also were able to drive solid margins at the property through our ongoing focus on cost management and operational efficiencies, which will allow us to maximize profitability as the D.C. market begins to recover. 
 At Gaylord Texan, the property continued to perform nicely, but faced a challenging one-time comparable created by the Super Bowl that I mentioned a couple of minutes ago. However, despite the challenging revenue comparable, the property delivered a solid CCF margin of 34%. 
 Now, Dave will provide a little more color on bookings, but I want to focus on group sales briefly. In the first quarter, we booked over 306,000 net room nights, an increase of just over 11% from the same period last year. As we mentioned in our preliminary preview last week, our April sales results indicate these positive trends continue. We booked over 120,000 future group room nights in April, a 69,000 room night increase over April of last year. We're encouraged by these results and believe that the pricing strategy that we have employed over the past 18 months has properly positioned us to take advantage of the momentum that appears to be building in group demand. 
 Now from a transient perspective, we believe our expanded leisure offerings will provide a lift to our transient bookings throughout this year, especially this summer. Our DreamWorks Experience is in its first full year of operation and will ramp up as we enter the summer. And we are confident that we will be able to apply everything we learned last year to improve how we market and execute these unique attractions in order to drive both additional room nights and profitability. 
 Additionally, we expect our resort pool attractions at Gaylord Texan and Gaylord Palms to drive transient growth as well. And some of you may recall that while it did not open until May 27 of last year, our resort pool complex at the Gaylord Texan drove over 22,000 incremental transient room nights for the property during last summer. We're looking forward to another successful summer for this complex and believe that we will be able to replicate its success with -- also with our new pools at the Gaylord Palms. 
 As we look forward to the remainder of 2012, we're cautiously optimistic of the positive group demand trends we witnessed in the first quarter will continue for the rest of the year. Given the strengthening that we have seen in group spending behavior in outside-of-the-room spending, and in light of our improving margin performance, we're raising our total RevPAR and CCF performance guidance for 2012. And Mark will go into this in a little bit in detail in a second. 
 Now turning to growth for a moment, we continue to make progress with our project in Aurora, Colorado. As we shared with you during our last earnings call, we have secured our incentive package with the City of Aurora and are awaiting a final decision on the incentive package we have submitted to the state. At this point in the process, we have presented to the Colorado Regional Tourism Act Commission and expect a final decision on whether we will receive the remaining part of the incentive package by the end of May. As this process continues to unfold, we will, of course, keep you updated. 
 Many of you may be aware that we recently filed a suit against both the National Weather Service and the Army Corps of Engineers for their actions that resulted in the flooding of the Greater National Area, and particularly, Opryland Hotel and the Grand Ole Opry House in May of 2010. We believe the extent of the flooding damage could've been prevented, and that the Corps and the National Weather Service were negligent in their actions. Now there's still quite a bit of research to be done on this filing, but there is already significant evidence within the Corps' own admissions that support our case. The goal is to recoup the losses due to the property damage that occurred, and as a result, we are seeking approximately $250 million in settlement. The legal process and proceedings may take a few years to complete, but very importantly, the legal fees are capped and with the majority contingent on a favorable result. 
 Now let me take a few moments to address the commentary that we included in our preliminary Q1 results last week. As we discussed on our last earnings call, in December of 2011, GAMCO Asset Management submitted a shareholder proposal requesting that we allow shareholders to vote on whether or not to extend our shareholder's rights plan that is currently in place and set to expire on August 12, 2012. GAMCO is a large and longtime and respected shareholder of our company, and our board agreed to put forth this resolution for a vote and to be bound by the results of the vote. Furthermore, on January 13, we entered into agreement -- an agreement with TRT Holdings, our largest shareholder and owner of approximately 22% of our company. And this agreement, among other things, stipulated that we would indeed allow our shareholders to vote on the extension of the shareholders' rights -- of the shareholder rights plan. 
 Now with this rights plan as a backdrop, it would be our board and management's view that over the last 12 months, our stock price has traded substantially below its true value. It's also our view that our hotel business, for many reasons, has substantial growth potential. And as you'll have seen from our first quarter's results and full year's guidance, this business is really performing pretty well right now, even in an economically challenging time. As the economy recovers and our business practices and capabilities further take hold, our one-of-a-kind hotels should produce substantial growth and cash flow. So the question for us, management and board, given the economic environment and the underlying strength of our business, what could and should we do to ensure our equity trades more in line with the underlying value of our business? 
 So over the last 6 months, we've been looking at all options available to the company to "unlock" value. Now this has been a very thorough, productive and reassuring process that is nearing completion. Now as anticlimactic as this may sound, our plans still need a little more work, and therefore, you'll have to be patient with us for a little longer as to the details of what we have in mind. 
 In closing, our record profitability performance this quarter, solid advanced group bookings production and leads, as well as a strong balance sheet, reinforces our belief that our company is well positioned for the economic recovery that appears to be developing. And with that, let me turn over to Dave to talk about sales and marketing. 
David Kloeppel: Thank you, Colin, and good morning, everybody. In the interest of time, and so that we can move to the Q&A portion of the call sooner, I'm going to limit my comments this morning to our advanced group bookings performance during the quarter and then turn it over to Mark to discuss our financials. 
 In the first quarter, Gaylord Hotels booked over 372,000 gross room nights for all future periods. This was an increase of 3.3% compared to the first quarter of 2011. On a net basis, we booked 306,468 room nights, which reflects an 11.6% increase. We saw good long- and short-term demand in the first quarter. Although our bookings for 2013 were down in the quarter compared to our production for '12 in the same quarter last year, our lead production for '13 is up over 25% compared to last year of the same time. The demand is there, and now we're focused on being wise about how we book this business for next year and at what rate we book it. 
 As Colin mentioned, we continue to believe the pricing strategy we employed the past couple of years is the right one. We're seeing strong demand for '13 and beyond as corporate demand picks up. We're also seeing encouraging trends as it relates to room rate. The rate we booked business at in the first quarter was up 4% over the same quarter in 2011, and total revenue we booked increased 7% quarter-over-quarter. 
 So with that as added color, I'll pass it over to Mark to go through the financials. 
Mark Fioravanti: Thanks, Dave. Good morning, everyone. 
 On a consolidated basis, Gaylord Entertainment revenue for the first quarter of 2012 was $238.9 million, an 8.2% increase from the first quarter of 2011. During the quarter, the company generated income from continuing operations of $6 million or $0.12 per diluted share, compared to a loss from continuing operations of $2 million or $0.04 per diluted share in the prior year quarter. Company-wide consolidated cash flow was $56.6 million, a 23% increase from $46 million the same period last year. 
 Turning to the hotel segment for the quarter. Gaylord Hotels RevPAR increased 3.8%, while total RevPAR increased 4.9%. Gaylord Hotels in-the-year, for-the-year cancellations in the quarter totaled 8,817 room nights compared to 20,596 room nights in the first quarter of 2011. Attrition rates fell 1.6 percentage points from 6.1% to 4.5% in the first quarter of this year. During the quarter, we continued to benefit from attrition cancellation fee collections, and collections totaled $1.2 million compared to $1.6 million for the same period last year. 
 As Colin discussed, driven by strong margin performance across the brand, Gaylord Hotels CCF increased 24.3% in the first quarter to $70.2 million, while CCF margin increased 410 basis points year-over-year. The Opry and Attraction segment also performed well, with revenue increasing 12.9% in the quarter to $12.8 million, and CCF increased $1.4 million to $2.1 million. 
 As it relates to the Corporate and Other segment, CCF in the quarter totaled a loss of $15.5 million compared to a loss of $11.2 million in the prior year quarter. And as Colin mentioned earlier, this loss reflects $3.1 million of nonrecurring expenses. 
 Moving on to the balance sheet. As of March 31, we had long-term debt outstanding of approximately $1,061,000,000 and unrestricted cash of $19.9 million. Additionally, $340 million of borrowing remained undrawn under our credit facility, and the lending banks issued $8 million in letters of credit, leaving $332 million of availability. 
 And finally, turning to guidance. As Colin stated, we're raising our consolidated 2012 full year guidance. Our guidance for Gaylord Hotels RevPAR remains as an increase of 3% to 6%, but we are raising our guidance on total RevPAR from an increase of 2% to 5% to an increase of 3% to 6%. As a result, we're raising Gaylord Hotels consolidated cash flow guidance from a range of $265 million to $275 million to a range of $274 million to $286 million, which include 9,525 room nights out of service due to renovation -- room renovation at the Palms. We're raising our expectations for the Opry and Attraction segment from a consolidated cash flow range of $14 million to $16 million, to a range of $15 million to $17 million. And as a result of the $3 million of nonrecurring expense we incurred in the first quarter, we're modifying our Corporate and Other segment expectations from a consolidated cash flow loss range of $48 million to $51 million to a range of $51 million to $54 million. So on a consolidated basis, total company CCF expectations will increase from a range of $228 million to $243 million to a range of $235 million to $252 million for the full year 2012. 
 And with that, I'll turn the call back over to Colin for any closing remarks. 
Colin Reed: Mark, I think it's -- we'll open the call up for questions. And so, Jackie, if you could do that for us, please, that will be helpful. 
Operator: [Operator Instructions] Your first question comes from the line of Andrew Didora with Bank of America. 
Andrew Didora: Colin, with the shareholders' meeting this Thursday, can you help us understand the timeline involved in exploring these strategic options? Just curious because with the $3 million spent in 1Q, it seems like this could create a little bit of a distraction for senior management. And any key dates or milestones we should look towards in order to check your progress on this front could be helpful. 
Colin Reed: Yes, Andrew. Look, we actually signal, I think, back in February, that we were looking at ways to unlock value within -- we've been at work on this for now 6 months and had a fleet of advisors and folks helping us think through all of the options before us. And we could've not said anything in this release, but the reality is our corporate costs did go up by 30% in the quarter. And you all are smart people, you would've asked what on earth is going on here with your corporate costs. And of course, we like to be transparent. We don't like to mislead you or investors, so that's why we've talked about this. We've put a lot of effort into this. And I think we are reaching the back end of all of this work. And I wish I could be a little bit more expansive, but the facts are, the plan needs some final work to it, some discussions with our board. And I think it would be inappropriate for me to sort of set expectations here in terms of timelines because anything can happen in this crazy environment. But I'm pretty confident -- let me say this. This review that we've undertaken, basically, has looked at everything. It's very, very extensive. And I believe that once we lay our plans out, I think it will make it much easier for investors to value our company. So let me hedge on it for a moment, Andrew, if you don't mind, and just be a little bit more patient with us because there's a little bit more work to be completed. 
Andrew Didora: Great. And I guess 2 quick follow-ups. First is when is your next board meeting? And then second, since you put it out there that you are looking at these -- exploring options, would you be required to disclose, if you decide that a transaction is not in your best interest? 
Colin Reed: We -- first of all, let me answer the first part of the question. The next board meeting we have is our regularly scheduled board meeting that precedes our annual shareholders meeting. So it starts at lunchtime tomorrow and will conclude at lunchtime on Thursday. And in terms of disclosures, once this review is done, we will -- and completed, I think we will make disclosures whichever direction we decide to go in, period. 
Operator: Your next question comes from the line of Kevin Milota with JPMorgan. 
Kevin Milota: Was wondering, on your updated bookings commentary, if you could give us a sense for where you are with occupancy on the books for '12 and '13? And also if you could give the same stats for revenue on the books? And then additionally, for the pricings take-in for '12, '13 and '14, give us a sense for where ADRs are coming out year-over-year? 
Colin Reed: David? 
David Kloeppel: Sure. Let me get a little bit of data here for you. So on the books right now for '13, we have 36.2 points of occupancy on the books. And for '14, we have 30.2 occupancy points on the books. And those are on the books at rates that -- '13 bookings are on the books about 12% higher than we finished 2011, and the '14 rates are a little bit above that. 
Kevin Milota: Okay, great. And then in terms of occupancy, is that ahead or behind of where you typically are at this point in your cycle? 
David Kloeppel: For '13, it's a little bit behind where we were this time last year for '12. For '14, it's ahead. And as I've said in my comments, we're seeing a significant increase in lead volume for the short-term period in the first quarter. Leads for 2013 were up about 25% or so, leads for '14 were up a little bit more than that. And so -- and then we saw good experience in April. We've disclosed our preliminary April production in our release, I guess that was last week. And that production was very, very good, as you know, across the board. And the vast majority of it was short-term T-0 to T-3. So we're seeing those leads convert now and we're feeling good about how we're feeling for '13 and '14. 
Colin Reed: The other thing that is going on here, Kevin -- this is Colin -- is that with the increase in our focus on the leisure side, we're seeing tens of thousands of room night more in production of leisure room nights this year over last year and last year over the year before. And this has been a conscious decision to eliminate the lower-priced summertime groups, put these resort pools in, and drive much higher-rated leisure business into these hotels. And that's one of the reasons why you saw last year at the Texan a record for the Texan in terms of profitability for the year. And we're continuing that strategy. And this summer will be the first summer that we will actually have our relationship with DreamWorks in operation. The other thing that's going on is we're being a little bit more, as we've signaled before, a little bit more of sticklers around pricing. And as Dave just reflected, the pricing lift from '13 to '12 is pretty good. So we're making some shifts here to hopefully drive much higher levels of profitability, eliminating the lower-rated groups in the summertime which tend to book 2, 3, 4 years in advance of the association business, and replacing it with, as this economy's improving, with this better transient business. And frankly, we booked a lot of transient business in the first quarter of this year as well, and that's one of the reasons why you saw us having the first quarter that we did. 
David Kloeppel: Yes. If you look at transient bookings year-to-date were up in the mid-20s percentage over the same time last year. So that's what's -- actually what's consumed in the first quarter plus what's on the books through -- and also what was consumed in April and what's on the books for May, and then there's a little bit of a trickle of bookings that are on the books for June, July and even some for Christmas right now. 
Operator: Your next question comes from the line of Jeffrey Donnelly with Wells Fargo. 
Jeffrey Donnelly: First question for you, Dave, it might be coming softball [ph], though I don't mean it as such. Most of your hotel earnings from the out-of-room spend and room rate or RevPAR numbers moving in tandem. But at the Texan, they actually moved opposition, if I'm doing my math right, looks like your RevPAR pulled back. But you’re out-of-room spend actually increased I think 2% or 3% year-over-year. And I'm curious, is that indicative of something in the prior year comp such as the DreamWorks event, or is that a sign of, I guess, growing demand for out-of-room offering and thus, maybe a little more sustainable in future quarters? I'm just curious what your thoughts are. 
David Kloeppel: Yes. Let me address that generally and then I'll get to the Texan, specifically. I mean, generally, we're seeing out-of-room spend grow at a slightly more rapid rate than inside-the-room spend at all the properties. And this is what we typically see when you start to see more kind of CEO confidence, more business confidence. We saw it back in, I guess, the 2004, 2005 period, as we started to see the beginning of the strength of that cycle. So we're seeing groups now where the meeting planner, when they're coming on-site and saying, "We think we're going to still be at x," and then the CEO comes on-site 3 days before the conference and says, "Well, we don't want x. We want x plus something, something, something." And they upgrade the overall experience. So we're seeing that generally. The Texan dynamic is a little bit different because Super Bowl rates pushed up the ADR, kind of overly inflated the ADR that we booked -- that we had for same time last year. So that's why you seeing a negative in RevPAR but you still see strength from an outside-of-the-room spend perspective. 
Jeffrey Donnelly: But I'm curious why is it that you're not really seeing that – or maybe, again, I'm just not perceiving this right, but you're not really seeing that out-of-room spend at the Gaylord National year-over-year. It looks like that piece has been relatively flat. 
David Kloeppel: It's hard to kind of be specific property by property and expect to see the exact same trend. But if you have a couple of different groups and a little bit different mix of business, it can adjust the percentage growth factors. I mean, these groups are so large that if one of them has an unusual experience and comes in and really blows it out. For instance, we had one group at Opryland that, in March, when they came the last week or so of March, and 2 weeks before that they said, "Oh, by the way, we just bought a company and we're going to add more room nights to the meeting. And oh, by the way, we want to upgrade our banquet facilities, our banquet experiences significantly to reflect the enthusiasm we have for this new company we just bought." So any single group, if it's a multimillion dollar group, is going to – could skew the results a little bit ahead of single property. 
Jeffrey Donnelly: Colin, I don't want to leave you out, and maybe Dave can chime in on this, too. But concerning Mesa and Aurora, I think this has been asked in prior quarters, but do you think Gaylord could handle a balance sheet aspects of 2 projects at one time? 
Colin Reed: Probably. It depends on the project. We -- from a 30,000-foot perspective, Jeff, you've seen our balance sheet. Our balance sheet, through the worst time in the world since 2008, plus a flood, our balance sheet is – we've continued to delever. And this year, we're going to throw there, or thereabouts, $100 million of free cash flow. We've got a very powerful little business on our hands here. So we've been cautious about growth and development through this downturn because all of us have been sort of trying to figure out when does the world move back to more of a normal time. But we think whichever direction we decide to go in, and I would say to you this, that in all probability, if we – if the company stays in the form that it's in, and let me just leave the sentence like that. And we were going about development the way we've gone about development 3 years ago, 5 years ago, 10, 8 years ago, I think our view would be that we should look at partners on these big developments, get this debt -- some of this debt off our balance sheet. And because we've now built the brand -- the brand is a very successful brand. The brand has great traction with the meeting planners and we're moving into a different phase as a corporation, as a company. And so I think we have good growth opportunities ahead of us. How we determine to structure it, I suspect, will be different prospectively than it has been in the past. 
Jeffrey Donnelly: Yes. I'm curious if I can as a follow-up on that. Many hotel brands, historically, emphasize honing their flagship hotels, define the brand. But given the size of your company, I guess, do you – what is your philosophy in the ability to separate the ownership of the asset from the management? Are you concerned that maybe you sacrifice something there? 
Colin Reed: Let me -- because I'm drifting, if I start getting in detail -- getting you a detailed answered to that, as you know, leading question. Jeff, you're a smart guy. I think what I'd like to do, rather than speculate about does the brand lose anything if we were to separate real estate from our operating side of the business, rather than speculate on that, let's -- if I could, let's table that until we have something more definitive to talk about in terms of these options that we've be looking at. 
Jeffrey Donnelly: Okay. And if I could ask one more question and then I'll -- the floor is – because I think it's a question on a lot of people's minds is do you expect you'll be providing any more disclosure on your alternatives at the shareholder meeting this week, or do you think it'll be sort of consistent with what you're doing today in the… 
Colin Reed: I don't think that's going to be practical simply because of the way our board meeting works with the shareholders' meeting. I don't think it'll be practical to give -- to come to the conclusion that we're going to say something a little bit more definitive on Thursday. But just bear with us on this. We've been working very, very hard at it and hopefully, we'll have something good to let our shareholders know about here and be able to help them understand the underlying value of our business. 
Operator: [Operator Instructions] Your next question comes from the line of Sam Yake with BGB Securities. 
Sam Yake: I have kind of a little bit of a follow-up on the last gentleman's point, kind of a longer-term question. I mean, you've done an exceptional job of building the brand, as you mentioned, and it seems to me like you have a tremendous amount of growth potential. What are your thoughts on how many properties Gaylord could ultimately have? 
Colin Reed: Sam, this is Colin Reed. I think I was the last gentleman. It's not very often that I get called a gentleman. But we believe in the form that these hotels are in today, big ones, that we could have 8 to 10 of these across the country. But we also, as we discussed 5 years ago, before we hit the wall with this sort of mega-recession that we've all been wrestling with, we had put together a comprehensive strategy which we had, at the time called Gaylord Light that talked about the -- because of the relationship that we have built with the meeting planner, this would be putting the company into the 700-, 800-room, more secondary city convention center hotels, and then use the feeder system that we have built and the relationships that we have built with the meeting planners to deliver consumers into those cities. That is something that we -- that's a strategy that we, as a management team, continue to talk about. And as we get comfort about the growth of this economy, moving in the right direction, that's a strategy that we will take off the shelf and dust off at the appropriate time. 
Sam Yake: Okay. And one other thing, how is customer satisfaction? Is it as high as ever? 
Colin Reed: Absolutely. It is the highest in, I think, David, in our company's history right now. And that's actually something we're pretty proud about. Navigating through this recession, so many of our competitors have put the tourniquet on their operating platforms and sometimes, that has hurt the customer. You read analyst reports about how refurbishment programs have not been done in hotels and customer satisfaction scores and particularly casino, large casino hotels and customer satisfaction scores have declined. That is not the case with our company. We've worked very hard on that through this downturn and that's paying dividends with our relationship with the meeting planners. 
Operator: And we have no further questions. I'll turn the floor back over to you, Mr. Reed. 
Colin Reed: Thank you, everyone, for joining us. Appreciate your patience, and when we have more to say, we'll be saying it. Thanks very much. 
Operator: Thank you. This concludes today's conference call. You may now disconnect.